Operator: Good day, and welcome to the Antero Resources Third Quarter 2016 Earnings Conference Call and Webcast. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Mr. Michael Kennedy, Senior Vice President of Finance. Please go ahead.
Michael N. Kennedy - Antero Resources Corp.: Thank you for joining us for Antero's third quarter 2016 investor conference call. We'll spend a few minutes going through the financial and operational highlights, and then we'll open it up for Q&A. I would also like to direct you to the homepage of our website at www.anteroresources.com where we've provided a separate earnings call presentation that will be reviewed during today's call. Before we start our comments, I would like to first remind you that during this call, Antero management will make forward-looking statements. Such statements are based on our current judgments regarding factors that will impact the future performance of Antero and are subject to a number of risks and uncertainties, many of which are beyond Antero's control. Actual outcomes and results could materially differ from what is expressed, implied or forecast in such statements. Joining me on the call today are Paul Rady, Chairman and CEO; and Glen Warren, President and CFO. I will now turn the call over to Glen.
Glen C. Warren - Antero Resources Corp.: Thank you, Mike, and thank you to everyone for listening to the call today. In my comments, I'm going to highlight our third quarter financial results, including price realizations and EBITDAX margins; discuss the current firm transportation outlook in Appalachia; and touch on our balance sheet and free cash flow. Paul will then provide commentary on the operational efficiencies and improvement in recoveries that we continue to achieve, and give an update on our continued consolidation in the basin. Let's begin with some of the key highlights from the quarter. Production averaged a record 1.875 Bcfe per day for the quarter, including over 81,000 barrels a day of liquids, representing 6% quarter-over-quarter growth. These production outperformers continues to be driven by operational improvements, particularly the advanced completions that were implemented early this year, which Paul will discuss further in his remarks in a moment. Moving on to realized pricing during the quarter, we realized a $0.05 premium to the Nymex Henry Hub on our gas production during the quarter, despite Dominion South and TETCO M2 differentials averaging $1.62 per MMBtu back of NYMEX Henry Hub. This is $0.77 per Mcf higher than the next closest peer that has reported thus far and $1.53 above the blended TECTO Dom South index for the quarter, which truly highlights the value of our firm transport portfolio and advantage we have over our peers moving virtually all of our gas away from unfavorable local Appalachian indices. To further boil down our firm transport, I'll direct you to slide number two in the deck, titled Antero Firm Transport Eliminates Northeast Basis Risk. Looking out through 2020, the year 2020, and utilizing our firm transportation portfolio to sell our gas into favorable markets, we expect to generate a premium to Nymex of approximately $0.10 per Mcf. After taking into account the firm transport cost of $0.46 per Mcf to move our gas away from unfavorable indices, which goes to operating expenses by the way, plus the cost associated with unutilized firm transport of $0.10 per Mcf, you can see our true netback price is expected to average Nymex less $0.46. When you think about the alternative, if we were to sell our gas at local indices, like Dominion South and TETCO, we would avoid the firm transport cost. However, we would average a netback based on September 30 strip pricing of Nymex less $0.91, or $0.45, worse than what we expect to receive through utilizing our firm transport portfolio. I think it's also important to point out that the strip pricing I'm referring to indicates a relative tightening of local bases, which has been priced in to give effect to pipeline projects that are expected to come online. Given the current environment today as it relates to pipeline projects, I think many would agree there is significant risk. The tightening of Dom South and TETCO bases may not occur at the levels implied by the current strip, which results in an even higher average index netback than $0.91. Moving on to liquids pricing, we realized an unhedged C3+ NGL price of $17.56 per barrel, or 39% of Nymex WTI, an ethane price of $0.19 per gallon, or $8 per barrel in the northeast. The C3+ NGL pricing of 39% of WTI, during the quarter, was at the high end of our 35% to 40% range of WTI, full year guidance, primarily driven by an improvement in the Mont Belvieu to WTI relationship, along with local differentials coming in as expected. Continuing on the liquids topic, let me briefly touch on our liquids exposure, as we see more upside in the liquids pricing relative to gas pricing over the next few years. To help try and break it down, I'll refer you to slide number three, titled Significant Liquids Pricing Exposure. As you can see in the chart, for every approximate $5 per barrel move in oil prices, assuming the Mont Belvieu NGL price to WTI ratio remains consistent with the current strip relationship, our upstream EBITDAX would improve by roughly 6%. For example, at an average oil price of $70 a barrel through the end of the decade, our upstream EBITDAX would increase by 17% over the base case at strip, or roughly $1 billion to $1.5 billion. So pretty healthy leverage to oil prices for an Appalachian producer, which provides us with nice diversity of cash flow from a commodities standpoint. I think it's also important to point out, as highlighted on slide number four, titled Largest Core Inventory in Appalachia, we are the largest holder of core acreage in Appalachia. Over 587,000 net acre core position is only 15% developed and includes 4,300 undeveloped horizontal drilling locations. With 435,000 net acres, we are also the largest holder of core liquids-rich acreage by a factor of over 2 times our next closest peer. A key part of our strategy throughout this downturn has been to position ourselves for an NGL price recovery, and we believe we're best positioned to capture this upside. As you can see on slide number five, titled Improving Marcellus Well Economics, roughly 1,900 of our undrilled locations are located in the 1200 BTU to 1325 BTU band in the Marcellus, and are delivering half-cycle rates of return in the 50% to 78% range using current strip pricing before hedging. Moving to cash expenses, I wanted to touch briefly on net marketing expense, which decreased to $18 million, or $0.10 per Mcfe during the quarter. The reduction was a function of releasing capacity on our A&R (07:48) South segment to a third party, as well as increased spreads on marketed gas due to the widening of local indices. During the quarter, we generated $373 million in consolidated EBITDAX, a company record. Detailed on slide number six, titled Highest EBITDAX & Margins Among Peers, our EBITDAX increased by 28% year-over-year and has far exceeded that of our peers for the last several quarters, as you can see. This chart is a bottomline testament to our integrated business strategy, which includes best rock, firm transport to favorable price indices and forward sales of a significant portion of our gas at fixed prices. We like our position. Moving on to the balance sheet and liquidity, I'll refer you to slide number seven now, titled Strong Balance Sheet and Liquidity. We announced yesterday that we have signed a definitive agreement to sell approximately 17,000 net acres, primarily located in Washington and Westmoreland Counties, Pennsylvania, for $170 million. This was acreage outside of our five-year development plan in an area that does not have Antero Midstream gathering infrastructure in place today. We thought it was very prudent to bring the PV forward, particularly as we continue to consolidate acreage in West Virginia and Ohio for near-term development. In addition to this divestiture, we also raised $175 million in early October through a private placement of 6.7 million shares to Temasek Holdings, a well-respected sovereign oil fund in Singapore. Furthermore, as part of the fall borrowing base redetermination, our borrowing base was increased by $250 million to $4.75 billion, and that was without any increase in the commitment, so that remains at $4 billion. The increase is a direct result of our growing core, liquids-rich PUD drilling inventory and the significant PDP reserve growth. Year-to-date, we have added a total of 99 PDP wells. Pro forma for the $345 million in proceeds from the aforementioned transactions, our September 30 consolidated net debt, the latest 12-month EBITDAX was 3.2 times. We have strong visibility that leverage will continue to trend down as we forecast increasing EBITDAX in 2017 and 2018, supported by our production growth of 20% to 25% per year. Hedges in place that cover all of our natural gas production in 2017 at $3.63 per MMBtu and at $3.91 in 2018, and similar capital spending in those years to our 2016 spend. With that I'll turn it over to Paul for his comments.
Paul M. Rady - Antero Resources Corp.: Thanks, Glen. In my comments today I'll provide an update on our operational efficiencies, highlight the improved recoveries that we are achieving through the advanced completion techniques that we implemented earlier this year and touch on our continued efforts to consolidate the basin. Now, let me first discuss the operational efficiencies and cost reductions we continue to achieve today. As you can see on slide number eight, entitled Proven Track Record of Well Cost Reductions, AR has reduced its well cost by 36% in the Marcellus since 2014 to $0.86 million per 1,000 feet of lateral. The continued reduction in well cost is the result of both operational efficiencies through faster drilling and completions, combined with long-term service contracts rolling off and being replaced with current market-priced services, despite the rising commodity price environment. The bottom half of the slide illustrates that we've seen similar success in the Utica with well costs totaling $1 million per 1,000 feet of lateral, representing a 35% decline since 2014. Additionally, current Marcellus and Utica well costs represent an 18% and 15% reduction respectively, compared to well costs assumed in AR's year-end 2015 reserves. At this point, we've not seen any upward pressure on service costs. In fact, on the drilling side, we have entered into long-term contracts at current market rates for several rigs through 2019, and on the completions side we have contracted for approximately 5,000 completion stages per year through 2018. Shifting gears to wellhead recoveries, we continue to achieve encouraging results utilizing the advanced completion techniques we implemented earlier this year. To provide further clarity, I'll direct you to slide number nine, entitled Optimizing Well Recoveries from Advanced Completions. As you can see in the table at the top of the page, we've laid out pertinent completion metrics and how the associated components have changed in the Marcellus since 2013. As outlined in the furthest column to the right, we have increased the proppant used per foot of lateral by 64% and the water used per foot of lateral by 54% since 2013. The increased sand and water concentration has resulted in a 33% overall improvement in recoveries based on the results of our enhanced completions to date. In the chart on this page, we've outlined three different cumulative production curves for the first two-year period of a well's life. The green legacy curve represents the production curve from wells completed in 2013 when we were using only 900 pounds of proppant per foot and had not transitioned to shorter stage lengths or SSLs. The orange curve represents the type curve assumed for all our Marcellus reserves today. This is supported by over 200 Marcellus wells placed online since we migrated to SSLs in late 2013. And finally, the yellow 2.0 Bcf per 1,000 line represents the cumulative production curve we're currently estimating based on results from the advanced completion wells outlined under the 2016 column in the table at the top. To date we've completed 33 wells using advanced completion techniques, which we generally define as using more than 1,300 pounds per foot of lateral. The aggregated production from these wells is tracking the 2.0 Bcf-per-1,000 type curve. This improvement in recoveries has really been a key driver behind the overall production outperformance we're seeing on a company-wide basis this year. On a year-to-date basis, looking back at the Marcellus, we've completed 69 wells and turned them to sales, and they all have at least 90 days of production history. The 69 wells have an average EUR or 20.6 Bcf equivalent at 1,245 Btu gas and assuming ethane rejection, an average lateral length of 9,000 feet and an average all-in development cost of $0.53 per Mcfe. Note that the 20.6 Bcfe average EUR processed is actually 26 Bcfe per well in full ethane recovery. Also, keep in mind the development cost associated with these completions partially reflects legacy drilling and completion contract rates. As these legacy contracts continue to roll off and the operational efficiencies continue, we expect to further decline in development costs. Antero has been a leader in long laterals since the inception of the Marcellus and Utica Shale plays. The economic benefit of drilling these long laterals is illustrated on slide 10, entitled Longer Laterals Improve Well Economics. Notice the increase in economics from a 63% rate of return to a 78% rate of return, when we go from the average peer company lateral of 6,500 feet to Antero's average of 9,000 feet. Now, when you combine the reduction in well costs with long laterals and these optimized recoveries, you really start to see a meaningful impact to the overall business, creating significant value for shareholders. To try and summarize this point, I would like to refer you to slide number 11, entitled Capital Efficiency Driving Value to Shareholders. On the left-hand side of the page, we show the original 2016 production guidance that we issued back in February compared to the current 2016 guidance, and the original 2017 production target compared to the current 2017 production target. On the right-hand side of the page, we show drilling and completion capital for the same time periods. The key takeaway from this page is that we're now expecting to grow 2017 production approximately 150 million cubic feet equivalent a day higher than originally targeted, while spending $225 million less capital to achieve this growth. This results in more free cash flow available to spend in 2017 to drive 2018 production and cash flow. Let me finish up by discussing the continued consolidation we've achieved throughout the years and really since we entered Appalachia in 2008. As you can see on slide number 12, entitled Leading Consolidator in Appalachia, we've continuously consolidated core acreage in Appalachia since we entered the play in late 2008. Since the end of 2014 alone, we've added over 85,000 net acres. We now have 629,000 net acres, including 587,000 acres within the core area, and 85% of that is undrilled acreage. This provides us with tremendous running room to develop high rate of return locations for many years ahead. We will continue to analyze opportunities for consolidation in the base, and then believe that we are well-positioned to capitalize on these opportunities. In summary, we've made great strides operationally in 2016, driving tremendous value for our shareholders. Our consolidation efforts have proved successful thus far, and we see a number of exciting opportunities that lie ahead. Our business plan remains focused on driving down development costs, optimizing recoveries, achieving best-in-class realized pricing, and pure leading margins, and these will ultimately lead to value creation for our shareholders. Looking ahead, we believe we are uniquely positioned for long-term success. With that, operator, let's open it up for questions.
Operator: Certainly. We will now begin the question-and-answer session. Our first question comes from Neal Dingmann of SunTrust. Please go ahead.
Neal D. Dingmann - SunTrust Robinson Humphrey, Inc.: Good morning, guys. Nice quarter. Say, first, make sure I have this right, do I recall maybe just earlier this year you had a slight constraint of some Utica takeaway? And today is, that the case for any of your more active Utica areas?
Paul M. Rady - Antero Resources Corp.: Well, we've had slight constraints through the quarter in Utica. In July, REX was down for maintenance some 10 days. But, in the bigger picture, we are constrained now that we're pretty well maxed out on our REX capacity at 600 million cubic feet per day, so we're drilling at a pace in the Utica just to maintain that 600 million cubic feet a day. What is the next shoe to drop, the next event that we are looking forward to – it's Rover coming to the Utica play, the Rover project. And we estimate that it's scheduled to arrive to be built to our Seneca outlet, sometime between mid-2017 and the end of 2017. So that's – that's what's constraining us and keeping us maxed. We certainly have the alternative right there at Seneca to sell into TETCO. There's a tap there and plenty of capacity, but obviously the TETCO price is so far behind, more than a dollar, $1 to $1.50 behind what we can sell netback-wise REX to Chicago and to REX Zone 3 that we've moved the capital over to Marcellus and are moving the resulting gas to better markets there, so just keeping it at 600 million a day, waiting for the next project.
Neal D. Dingmann - SunTrust Robinson Humphrey, Inc.: Got it. And, Paul, just one last follow-up. If takeaway was not really a concern, how do you think, just in sort of general terms, about Marcellus' growth and returns versus potential Utica? I mean, I'm looking at those prior slides where you just show us the single economics of the Marcellus and Utica. I mean, is it just simply looking at kind of the pre-tax returns that you're looking at there? Or again, I guess just how you sort of think about the two primary areas.
Paul M. Rady - Antero Resources Corp.: Yeah, we think of it, we certainly – I'd say, when you look at our acreage and the size of the opportunities, the Marcellus is probably three times as big, rough numbers, 450,000 plus net acres in Marcellus versus 150,000 in the Utica. So the size of the opportunity is greater and the capital is being spent kind of in proportion there. But yeah, the Marcellus does have a stronger economics at this point.
Neal D. Dingmann - SunTrust Robinson Humphrey, Inc.: Very good. Thank you, guys.
Operator: Our next question comes from David Tameron of Wells Fargo. Please go ahead.
David R. Tameron - Wells Fargo Securities LLC: Hey. Good morning. Paul, when you talked about the longer laterals, if we think about the drilling program over the next two years, or even three years, like how much of your development drilling will be on those longer laterals?
Paul M. Rady - Antero Resources Corp.: All of it will be on longer laterals. I think we're averaging 9,000 foot to 9,500 foot longer laterals. We've gone out – our longest laterals in the Utica are at 13,600 feet sideways and our longest now in the Marcellus are over 14,000 feet. We're just completing our first 14,000 footer, now the Nova 2A (24:06) right in our central area. So longer is better. We don't necessarily have to go longer since we have good, well-located pads and infrastructure to keep it in the 9,000 feet to 12,000 feet range. But we're very comfortable going longer, so I think you'll see us go longer as time goes on, which just improves the economics, obviously.
David R. Tameron - Wells Fargo Securities LLC: Okay. And then on the 1,500 pound sand per foot number, have you tested higher? Do you think it can take more sand? Like how should we think about – it's crept up the last few years. Are you kind of at what you view today as the optimal limit? Or do you think there's still upside to that number?
Paul M. Rady - Antero Resources Corp.: Yeah, there's still upside. So what was once piloting at 1,500 pound sand per foot on our advanced completions, that's now our base case that everything is 1,500 pound sand per foot. But we are piloting at 1,750 pounds and at 2,000 pounds right now, and putting away the fracs, no problem. But we look forward to seeing what that will do, and have expectations that it will improve further.
David R. Tameron - Wells Fargo Securities LLC: Okay. And then last one from me. NGL market – or more importantly, I guess, infrastructure and takeaway, can you just sum up, if you can, kind of the way you view that in the Marcellus and the Utica over the next couple of years.
Paul M. Rady - Antero Resources Corp.: Yeah, the – so we have reasonable markets and takeaway right now in the Marcellus. We're looking forward to a couple of projects coming in. We've talked about Mariner East II, which will open up things to the east for export out of Marcus Hook and we're an anchor ship around that. That's estimated to be in service in middle to end of next year, and so that'll open up things. We're recovering ethane right now and moving it to – we're either, well, we're moving it through ATEX, to markets that we have downstream of ATEX. So I think we see a positive environment going forward. You can see that also in the future's prices for both ethane, propane and butane that there's – they are in Contango, and so as more infrastructure comes to the northeast, not only the export markets there's talk of another pipe that might go to Mont Belvieu out of our area. And then over the next five years, the crackers come along and provide some local uptake, too, for the ethane. So generally improving over the next number of years and, overall, pricing is also improving.
David R. Tameron - Wells Fargo Securities LLC: Okay. Thanks for the color and the nice quarter.
Paul M. Rady - Antero Resources Corp.: Thank you.
Glen C. Warren - Antero Resources Corp.: Thank you.
Operator: Our next question comes from Brian Singer of Goldman Sachs. Please go ahead.
Brian Singer - Goldman Sachs & Co.: Thank you. Good morning.
Glen C. Warren - Antero Resources Corp.: Good morning.
Brian Singer - Goldman Sachs & Co.: Following up on the topic of profit per foot, can you talk to what you see as the limitations on this, and as you mentioned on David's question, you have had some strong results I think initially from the 1,750 pounds to 2,000 pounds. What are the limitations on how high you can go and when do you expect to test next year?
Paul M. Rady - Antero Resources Corp.: Well, all we have designed and projected so far are the 1,750s and 2000s, but with positive encouragement, I would guess that we will go up even higher. Certainly, others in industry, in other plays are using more, and we haven't recognized the breakover point yet. It's going to be a point of diminishing returns at some point. But we think mechanically, we can put away the bigger fracs, so don't see a logistical or mechanical reason that we couldn't pump, say 2,500 pounds. It works out; we've got the horsepower at the surface and friction reducers, and so even on the long laterals, we can break down the distant stages in the lateral. It should be able to pump it away. We haven't needed to use gel. We're just using pure slick water without gels. And we've adjusted the size of our proppant to be able to get the jobs away 100%. So I don't think we've seen the limit yet, but we just are a little bit conservative on our piloting and just want to do each pilot where we'll compare and contrast. We'll, say on a certain pad, we'll drill four wells to the north and complete them with 2,000 pound and four wells to the south at 1,500 pounds and compare results. So we move a little bit slowly but just want to adjust one variable at a time. So I do see it in our future that if the 2,000 pounds works, that we'll probably test higher.
Brian Singer - Goldman Sachs & Co.: Great. Thank you. And then you brought up the topic of consolidation in your remarks, which obviously made the acquisition here recently. Can you just give a little bit of a lay of the land in West Virginia and then the dry and wetter gas at Utica in Ohio, and where you see the opportunities and how meaningful you think that could be?
Glen C. Warren - Antero Resources Corp.: Yeah, there are still opportunities and we're in all those discussions. And I think you'll see further consolidation from the same guys who've been doing the consolidation thus far. I'm not sure they'll be of any greater magnitude; probably lesser. But there are still opportunities to bolt on assets here and there. On the corporate side you've seen a little bit of that, but not a whole not, and I don't think we expect to see a whole lot of that right away. But I think the asset consolidation will continue for some time in the core. We've been forthcoming about our core outlines and our advanced completion or high-graded core. So I think that's where you're really seeing most of that consolidation activity in southwest Marcellus and some in the Utica, too. So we'll continue to be part of that I think as long as the prices are reasonable.
Brian Singer - Goldman Sachs & Co.: Great. Thank you.
Paul M. Rady - Antero Resources Corp.: Thank you.
Operator: Our next question comes from Carlos Newall of Raymond James. Please go ahead.
Carlos Newall - Raymond James Financial, Inc. (Broker): Hi. Thanks for taking my call. With regard to the marketing business, could you provide a bit of color on the third-party contractual agreement where you released some unutilized firm transportation?
Paul M. Rady - Antero Resources Corp.: Could you repeat that, Carlos? I couldn't quite hear all of that question.
Carlos Newall - Raymond James Financial, Inc. (Broker): Yeah, no problem. If you could just provide a bit of color on the third party contractual agreement mentioned in the press release, where you released some of the unutilized firm transportation and the associated cost with them.
Paul M. Rady - Antero Resources Corp.: Sure. So what we're talking about is our Rover capacity, and so – actually, it's Energy Transfer, but it's our A&R capacity that's southbound out of REX Zone 3. So we signed up for A&R capacity and that began last year, but as Rover was proposed by Energy Transfer as part of our reward, I think, for stepping forward and being an anchor shipper on Rover, Energy Transfer agreed to pick up the tariff on A&R south, beginning last July 1, until Rover is in operation. And so, that amounts to picking up a tariff on the order of $70 million to $80 million a year.
Carlos Newall - Raymond James Financial, Inc. (Broker): Great. That's very helpful. One other one from me. What kind of increase in well costs should we expect from enhanced completions relative to model well costs currently being published?
Glen C. Warren - Antero Resources Corp.: The model well costs are really based on the 1,500 pounds per foot. And so, as we escalate that to – let's say, towards 2,000 pounds – it's not a significant increase. It's in the couple hundred thousand dollar range, maybe $200,000 to $300,000 range, so it's not a real big increase in today's prices and costs.
Carlos Newall - Raymond James Financial, Inc. (Broker): That's fair. All right. Thanks, guys. That's it for me.
Paul M. Rady - Antero Resources Corp.: Thanks.
Operator: Our next question comes from Dan Guffey of Stifel. Please go ahead.
Daniel Guffey - Stifel, Nicolaus & Co., Inc.: Hey, guys. Nice sale on the non-core acreage in Pennsylvania. Just curious if there's any other non-core positions you're currently marketing, and if so, what are the size of those packages?
Glen C. Warren - Antero Resources Corp.: There's nothing contemplated at this point. We're not marketing anything else. That one made a lot of sense. It's core to the basin, so we like the acreage, and the buyer likes the acreage, but it's a long way from our infrastructure. And Antero's strategy from the very beginning has been to block up and build infrastructure, whether it's water or gathering compression around that blocked-up acreage. And so this one was a bit far afield, and it made sense to depart with that. But most everything else is pretty well blocked-up in our position.
Daniel Guffey - Stifel, Nicolaus & Co., Inc.: Great. Makes sense. And then productivity per foot is up nicely with completion optimizations in both the highly rich condensate and highly rich – curious, can you talk about potential for productivity uplifts in the drier portions of the Marcellus? And then also, have you tested or seen any productivity improvements in the Utica?
Paul M. Rady - Antero Resources Corp.: First of all, on the Marcellus, and I think we have it in our company presentation, we see others a little further north from our acreage that have seen positive results from enhanced completions, bigger fracs, and we have a big outline on our map in our company presentation on our website. And so, do expect that it can work as well over on the east side of our acreage. We're going to test that later this year as well as into 2017. We have a number of DUCs that are quite well-positioned to run pilots for the enhanced completions, and so, that is being put into motion now for the fourth quarter, that we'll do enhanced completions on the DUCs on the east side, and if those work as we think there's a very good chance they will, then that will extend that big loop that we have on our website to cover a fair amount of our eastern acreage. And then, in terms of the Utica, yes, we are ramping up there in terms of enhanced completions. We're doing some 2000-pound per foot testing over on that side as well. We adjust specific parameters. The Utica, we feel, needs a little less water per pound of sand and so on, but testing that as well, so it's – in both plays, we're moving forward with bigger and bigger fracs.
Daniel Guffey - Stifel, Nicolaus & Co., Inc.: Great. Thanks for all the color.
Operator: Our next question comes from Holly Stewart of Scotia Howard Weil. Please go ahead.
Holly Barrett Stewart - Scotia Howard Weil: Good morning, gentlemen.
Glen C. Warren - Antero Resources Corp.: Good morning.
Paul M. Rady - Antero Resources Corp.: Hi, Holly.
Holly Barrett Stewart - Scotia Howard Weil: Just maybe – most of my questions have been answered, so maybe just sort of thinking about 2017, you've outlined your growth, you've kind of talked about the CapEx running six rigs today. Where do you think you need to be, I guess, from a rig count perspective to get to those 2017 targets?
Glen C. Warren - Antero Resources Corp.: Holly, you know the efficiency gains have just been so tremendous. We were at 30 days to drill a Marcellus – a 9000-foot Marcellus a year ago, and today we're down into the 12-day, 14-day range. I've seen some even better than that. So, it's amazing what you can do with six rigs. So we really don't see much of an increase in the rig count next year. We'll probably run around six rigs next year, six-and-a-half, let's say, to achieve those targets. So we're in great shape that way; don't need to add a lot of rigs. In fact, we've added a couple of longer term contracts just recently that term out through 2019, just to lock in day rates on the rig side. But we can get done what we need to get done with about six rigs next year. And of course, we do have the DUC inventory to complete, so that does keep the rig count down for the first part of next year, anyway.
Holly Barrett Stewart - Scotia Howard Weil: Sure. Appreciate that. Any color on those rig contracts you'd care to share?
Glen C. Warren - Antero Resources Corp.: Well, we essentially termed them out at kind of market today's – market day rates. And so it's a nice fit in the portfolio for us, and I think it is for the drillers as well, the service companies, to put away some of it. I think people are optimistic on the service side that prices are going to improve for day rates and all, over the next few years, but it's hard to say when that happens exactly, so, that they were also happy to put it away in their portfolio under a long-term arrangement.
Holly Barrett Stewart - Scotia Howard Weil: Yeah. Perfect.
Paul M. Rady - Antero Resources Corp.: A little more color there. It might be relative to our legacy contracts. The day rate is about 60% or so of what they used to be.
Holly Barrett Stewart - Scotia Howard Weil: Wow. Okay. Great. Thank you. And then I know we've sort of talked about, and maybe Paul, you were referencing this on the last question, but just some dry gas opportunities that you guys were seeing. Any update there, just kind of on strategy, or maybe potential development?
Paul M. Rady - Antero Resources Corp.: We continue to see that the economics are a little better over on our rich gas side, so yes, we'll do some DUC completions and test out our enhanced completions, and just go from there. But I don't see that we're going to be shifting our rigs over to the east side in the Marcellus. We are doing some dry gas drilling now in the Utica, and not way down depth, but just a mile or two miles from our rich fairway, slightly on the east side where those wells will not need processing, and we're using enhanced completion ideas there, as well. So, a little bit of dry gas going on in the Utica, and just to keep us topped off at that $600 million a day and testing the DUCs on the east side of the Marcellus.
Holly Barrett Stewart - Scotia Howard Weil: Got it. Great. Thanks, guys.
Glen C. Warren - Antero Resources Corp.: Thank you.
Operator: Our next question comes from James Sullivan of Alembic Global Advisers. Please go ahead.
James Sullivan - Alembic Global Advisors LLC: Hey. Good morning, guys. Thanks for taking the questions.
Glen C. Warren - Antero Resources Corp.: Good morning.
James Sullivan - Alembic Global Advisors LLC: Just quickly on – with the northeast basin spreads obviously continuing to widen out in October, can you guys just comment a little bit on where you guys – where your marketing revenue is running in October and for Q4, what you think you're expecting versus Q3? Can you give any color on that?
Paul M. Rady - Antero Resources Corp.: Yeah, so the gas that's constrained in Southwest PA, so those producers that are selling into TETCO M2 and Dominion South, that gas is at a huge differential to the TCO pool to Nymex. So there's quite a spread there. We're buying plenty of third-party gas. It's out on the order of at a minimum, up to $200 million a day, and on some days there are some constraints in the system that it can be 2 times to 2.5 times that. So good spread there, which leads of course to enhanced marketing revenue. What you do see is that as it's constrained there, as the storage is full, that there are some constraints in the system. It's not as wide open. It's not perfectly wide open; otherwise we'd be filling our capacity with about a half a Bcf a day of third-party gas. So it bounces up and down from between $200 million and $500 million a day. But there's a good opportunity there and as the cold weather comes in and the storage constraints are removed, then we'll be able to buy more of that distressed gas. We've also been buying quite a bit now on our Tennessee leg, that there are distressed producers all along that stretch from Broad Run. So our inlet for the Tennessee pipe in the vicinity of the TCO pool that there's a lot of distressed gas between there and the Gulf. And so we're picking up a lot of volume, several hundred million cubic feet a day and picking up a pretty good spread. Yesterday's spread was $1 to $1.50 between what we could pick it up at and where we could drop it off at Columbia Gulf and Tennessee Gulf. So we continue to offset our unused capacity cost, and so it's going well.
James Sullivan - Alembic Global Advisors LLC: Okay. Interesting. An interesting revenue story developing there. To go from kind of short-term to long-term then, you guys talked a little bit about ATEX and the ethane, and then NGL markets generally. But you have to pass in ATEX. What was your budget in upsizable pipe? What would your obligations and opportunity be on upsized capacity if the ethane market does develop in the way that we would obviously like to see it do over the next couple of years?
Glen C. Warren - Antero Resources Corp.: Yeah, I'm not sure I heard all of that, but I think, at the end of the day, we've got 20,000 barrels a day of capacity on ATEX. And it's in the, kind of the mid, so you could call it $0.15 range or so a gallon. There is some additional capacity on ATEX that's available on a spot basis, but there's not a whole lot. There's probably, on a given day, 15,000 barrels to 20,000 barrels a day maybe of capacity on the ATEX. So that's one outlet, but I think that Centennial – or I'm sorry, Enterprise has talked about a new project, Centennial, just this week that would bring, say, another 100,000 barrels a day of ethane capacity. Mariner East II will also be able to move some, or Mariner East I. So we do see some more capacity breaking free here over the next couple of years.
James Sullivan - Alembic Global Advisors LLC: Okay. Great. I was thinking about whether ATEX was upsizable, but maybe Centennial is in place of that. Last one from me...
Glen C. Warren - Antero Resources Corp.: It is. It is. ATEX is upsizable, but I think there's a debate going on as to which one of those ends up going.
James Sullivan - Alembic Global Advisors LLC: Understood. Thank you. That's helpful. Just one really quick last one if I could squeeze in to you guys. You guys had talked about, obviously, you're constrained in the Utica until Rover starts up. You guys talked about a mid to late 2017 time, so that obviously, it's not in your control, but you've obviously probably want to do some ramp activity for that. What is your confidence on that? Obviously, you might work that into your 2017 plans. And I know you guys haven't done that yet, but how are you guys feeling about the likelihood of tie-in roughly on schedule with that?
Paul M. Rady - Antero Resources Corp.: Well, we're in touch with Energy Transfer and everything looks like it's going according to plan so far. But I think the next several months will be telling as to when they get their permit to build. The pipe is already laid out in the yard at Massillon, Ohio to build the leg from Clarington up to Defiance. So it's just a question of when they can put that into motion. So as we say, we risk it earliest is middle of 2017 and I wouldn't say latest is end of 2017, but some sort of risking there. As we get better visibility on that, as in when they get their permit to build, then it's fewer variables and just how long will it take them to build it, to put it in the ground. Six to nine months is some estimates that we've seen. So I think we'll have better confidence by this year-end as to whether they've got the green light to go forward. And with that we can begin ramping and starting our drilling in the Utica. But we'll try and feather it in. We also have the ability to move our gas around a little bit, and as Rover comes on, move our gas – switch it between Rover and REX. And for any unused capacity, let's say, on Rover as we ramp into it, we'll be able to buy distressed third-party gas and fill that unused capacity, or at least offset the cost. So our thought processes are in place to ramp into Rover as it comes on sometime between mid-2017 and call it mid-2018.
James Sullivan - Alembic Global Advisors LLC: Okay. Great. Thanks for the call, you guys. I really appreciate it.
Operator: Our next question comes from Ben Wyatt of Stephens. Please go ahead.
Ben Wyatt - Stephens, Inc.: Yeah, hey. Good morning, guys. Paul, maybe just going back to the well optimization slide, slide nine, focusing a lot on the profit per foot you guys are doing there. Just curious, is this a good relationship that we're seeing, kind of the profit per foot to the barrels of water per foot? Meaning if, as you guys move to 2000 pounds of sand per – or profit per foot – should we see a 50-barrel, 55-barrel per foot number on the water side, or is that not necessarily the case?
Paul M. Rady - Antero Resources Corp.: It's close. Directionally, it's the case, but it won't be directly proportional. If anything, it'll be a little bit less water, but proportionately close to the same.
Ben Wyatt - Stephens, Inc.: Got it. That's helpful. And then, maybe just on the divestiture, you guys care to share: private buyer, public, just any color around that?
Paul M. Rady - Antero Resources Corp.: Yeah, I think it's a public buyer, and you can kind of triangulate with some of the other announcements made this week, I think, and see who bought that.
Ben Wyatt - Stephens, Inc.: Yes. Yes. Very good. Appreciate it, guys. Nice quarter.
Paul M. Rady - Antero Resources Corp.: Thank you.
Operator: Our next question comes from Arun Jayaram of JPMorgan. Please go ahead.
Arun Jayaram - JPMorgan Securities LLC: Yeah, good morning. My first question, with AM now trading at an all-time high, I was just wondering about your thoughts around strategic ways to benefit the AR shareholder from AM.
Glen C. Warren - Antero Resources Corp.: Well, it's certainly a nice currency. Doing acquisitions is not really our game on the MLP side, but as we've said many times, we continue to look at downstream projects, and it's nice to have an attractive equity currency for that. For AR, there's no direct, specific plan to sell down to those AM units. We certainly like the upside, even from here, with the growth that's built in and embedded over the next many, many years. So I think you'll see AR continue to hold most of that position.
Arun Jayaram - JPMorgan Securities LLC: That's helpful. Secondly, it sounds like there's no additional acreage that is kind of on the block, but nice transaction to monetize 17,000 acres for a nice upturn (49:13) in terms of per acre value. As part of your broader inventory and acreage strategy, do you see further opportunities to "divest" maybe stuff that's just not going to be developed in the next five years to 10 years?
Paul M. Rady - Antero Resources Corp.: No, we don't. We like all of our acreage. Obviously, some is stronger than others but like it all, and so don't see ourselves calving any of that off to let go of it. Certainly, we have done lots of trades with the other peer companies in Appalachia and we'll continue to do that where it's mutually beneficial to block up. So there'll be some swapping back and forth, bigger pieces and smaller pieces, but nothing that we have that we'd say, don't like it and want to sell it.
Arun Jayaram - JPMorgan Securities LLC: Okay. And I may have just missed this because I dialed in just couple of minutes late, but just can you remind me on where your DUCs are today and kind of the strategy and timing of normalizing those?
Glen C. Warren - Antero Resources Corp.: Yes, about 22 of the DUCs are further east and in that area of dedication that's to a third party. The remaining DUCs are sort of between there and even scattered throughout our very rich Doddridge County acreage. And so when we talk about DUCs, just keep in mind that they're true DUCs. They're wells that have been taken out of the development cycle; they've been drilled and cased, but we're not moving onto them to complete and drill out. So they truly are uncompleted wells that we've put on the shelf for the time being. We do plan to start getting back on some of those here in the fourth quarter. They won't be completed in the fourth quarter but we'll start to work on that DUC inventory. I'd say the BTU ranges from 1,150 Btu on the low end to as high as probably 1,250 Btu, 1,275 Btu on the high end, in terms of that DUC inventory.
Arun Jayaram - JPMorgan Securities LLC: And is that, the completion of DUCs you're going to start in the fourth quarter, is that already contemplated in your 2017 guide or could that provide some upside relative to that number?
Glen C. Warren - Antero Resources Corp.: It is because it's a long cycle, as you can imagine. All of our drilling is pad drilling now; I think that goes without saying. But we've got some pads now that have as many as 12 wells on them and we completed all 12 of those wells before we put them on line. So many, many pads have lots of wells. So even though we're going much faster with our stages per day, just getting on those pads and completing them, fracking the wells and then brining in the crew to drill out, add production equipment, although it takes some time. So it's not going to impact the fourth quarter production in any material way. And it is factored in to our capital guidance for the year to be able to do that, do the savings that we've seen on well costs throughout the year.
Arun Jayaram - JPMorgan Securities LLC: Okay. Nice results. Thanks a lot.
Glen C. Warren - Antero Resources Corp.: Thank you.
Operator: Our next question comes from Marshall Carver of Heikkinen Energy Advisors. Please go ahead.
Marshall Hampton Carver - Heikkinen Energy Advisors LLC: Yes. You mentioned the locking in of day rates at lower prices than the historical prices. Is that savings fully cooked in to the lower well costs in the presentation? Or is there another step down coming in well costs over the next quarter or two quarters?
Paul M. Rady - Antero Resources Corp.: Yeah. It's generally baked in the, sort of the market day rates.
Marshall Hampton Carver - Heikkinen Energy Advisors LLC: All right. That's it from me. Thank you.
Paul M. Rady - Antero Resources Corp.: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Michael Kennedy for any closing remarks.
Michael N. Kennedy - Antero Resources Corp.: I'd like to thank everyone for joining us on our call today. Please feel free to reach out to us if you have any further questions. Thanks again. Bye, bye.
Operator: The conference has now concluded. Thank you for participating in today's presentation. You may now disconnect.